Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Synaptics First Quarter 2013 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator’s instructions) This conference is being recorded today, Thursday, October 25th, 2012. Now, I'd now like to turn the conference over to Jennifer Jarman of the Blueshirt Group. Please go ahead.
Jennifer Jarman: Thank you, operator. Good afternoon and thank you for joining us today on Synaptics’ first quarter fiscal 2013 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the Company's website at www.synaptics.com. With me on today's call are Rick Bergman, President and CEO and Kathy Bayless, CFO. In addition to the Company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which exclude share based compensation charges and certain non-cash or non-recurring items. Please refer to the Press Release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements including predictions and estimates that involve a number of risks and uncertainties including, but not limited to, statements regarding the Company's future financial performance and outlook, including financial guidance for the second quarter of fiscal 2013, anticipated sequential increases in PC and mobile product revenue for the second quarter, expectations of new design launches with multiple LCD manufacturers over the next several quarters, including expectations regarding the growth of display integrated solutions, the timing of ForcePad and ThinTouch adoption in calendar year 2013, the Company’s leadership and innovation and technology, its tools, display integration efforts and advancements in the total system that position it to win going forward and the Company’s belief it is investing in the right areas and paving the way for sustainable profitable growth. Actual results may differ materially from any future performance suggested in the Company's forward-looking statements. We refer you to the Company's SEC filings, including Form 10-K for the fiscal year ended June 30, 2012 for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. We expressly disclaim any obligation to update this forward-looking information. And now I will now turn the call over to Rick Bergman. Rick?
Rick Bergman: Thanks, Jennifer. We are pleased with our results for the September quarter. Revenue of $127 million was towards the high end of the guidance range we provided last quarter. Our top line results reflect better than anticipated revenue from mobile phone touchscreen application, partially offset by lower than expected PC revenue. As a result of the revenue mix change, our gross margin performance exceeded the high end of our expectations as non-GAAP gross margin grew to approximately 48% and in turn provided operating leverage, delivering strong non-GAAP net income of $12.7 million or $0.37 per diluted share, near the high-end of our guidance range. We enjoyed seeing many of you at our analyst and investor committee in August, where we covered a lot of ground in terms of our vision as a human interface company and our strategies for growth as we move forward. Today I'm going to focus on the latest updates in our core market. I'll then turn the call over to Kathy to review our first quarter results in more detail and to provide our current outlook before opening up the call to your questions. Let's start with the mobile market. Our ClearPad offerings continue to deliver the industry's broadest solution portfolio to key partners, such as HTC, Samsung, Huawei, Nokia, ZTE, LG and Sony. With our support for both Android and Win Phone 8 driven solutions, we are confident in the continuing success of our ClearPad solutions. The LG Optimus G, which LG calls a collaboration of some of the best component makers on the planet, as well as the HTC 8X and 8S Win 8 phones are examples of some of our latest ClearPad solutions. In addition with our ClearPad Series 3 family premier smartphone touch solution, we have raised the bar for high performance touch on two recent Nokia phones, the Lumia 820 and the 920. With the introduction of support for gloves and fingernails, ClearPad Series 3 technology gives users a seamless multi-touch experience regardless of input method, which helps solve one of the industry’s long standing challenges with cold weather smartphone operation. In fact, we are recently honored to receive the Nokia award for Best Supplier for Innovation, where we were recognized for product differentiation, innovation and execution; as well as the Sony Mobile Supplier Award for Best Improvements, highlighting our role as a total solution provider maintaining a balance of cost, quality, delivery and technology. I think it's worth note that from a supplier base in excess of a 100 companies, Synaptics was the only semiconductor related company to receive awards from either customer, as well as the only company in any category to receive awards from both. As Synaptics pioneers new technology enhanced capabilities, we also recognize the need to develop software support tools to quickly and efficiently implement a cost optimized ClearPad solution. Our most recent smartphone design tool TouchXplorer, tests and provides immediate visual feedback of finger presence and movements on a device, allowing designers to access touch performance in real time. Synaptics continues to be in the forefront of a touch and display integration trend, as the industry transitions is to thin and bright, high performance mobile devices. As a leader in On-Cell and In-Cell development, Synaptics is committed to driving the evolution of these technologies as well as our next generation touch and display driver integrated solutions. Our activity with multiple LCD manufactures is increasing. Our design pipeline is growing and we expect to see new designs launch over the next several quarters. Our current and potential OEM customers appreciate our On-Cell and In-Cell approach, which is designed to record a high yield manufacturing process. We are very enthusiastic regarding display integrated solutions and believe that we will see the number of units double over the next two years to roughly 25% of the market. As we highlighted during the Analysts and Investor Day, China constitutes the world’s largest smartphone market and now represents 25% of the global smartphone shipments. With a wide ranging customer base including Huawei, ZTE, Opo and Coolpad, Synaptics is well represented within a lion’s share of the market. Our broad product portfolio has value oriented, cost optimized solutions including our single layer offering to premium high end solutions that allow our China based OEMs to compete globally. As with our broader customer base, our China customer’s value are in equal of the total system solutions provider and have a keen interest in our display integration capabilities, strength supporting our strong position moving forward. Recent product launches from Chinese OEMs include, ZTE’s U985 smartphone and a high end tablet from popular tablet manufacturer, (inaudible). Both products are geared towards the mass market in China. Now turning to the PC market, we continue to lead the adoption of touch with Microsoft’s revolutionary Windows 8 and Windows RT operating systems across a number of thin and light configurations. We are fully engaged in ongoing and vigorous design activity for our TouchPad, large touchscreen and keyboard product lines with our key partners. In August, we launched the industry changing ForcePad and ThinTouch keyboard solutions, which were well received by key partners and product analysts. We continue to work through the design and process for both solutions and expect ForcePad adoption to begin by mid-2013 with ThinTouch following later in the calendar year. We are exploring new uses models across our solutions portfolio with internal investments in R&D, as well as external partnerships with organizations such as the 2012 user interface software and technology student innovation contest. Synaptics supplied each team with an external ForcePad that could be used to research and develop interesting and innovative design ideas. We came away from the event with several creative designs from the 27 registered teams from all over the world, demonstrating the mass potential of ForcePad usage models. Our TouchPad family continues to deliver the industry’s best touch solutions for notebook PC's. In particular are our ClickPad solutions can be found in our latest notebook and ultrabook designs from the major PC OEMs, such as HP, Lenovo, Asus, Toshiba, Sony and Panasonic. Our partner’s product continue to garner exceptional reviews from leading publications such as Fortune Magazine; refer to the Lenovo X1 Carbon as having the most responsive mobile touch trackpad we have ever tried on PC; and a reviewer from The Verge, who noted that the HP Spectre XT had the best touchpad I have used on a Windows laptop bar none. Because an optimized user experience in Windows 8 is significantly enhanced by touch interface, Synaptics has seen a dramatic increase in external ClickPad and ForcePad design opportunities. A good example of this is the recently announced Dell External Wireless Track Pad that is explicitly designed to support Window 8 gestures, such as swiping in from the laptop to toggle through applications. In addition, Synaptics saw its Windows 8 large touchscreen solutions receive official Windows hardware certification through key designs through OEMs such as Lenovo and Razer. The touch-first Windows 8 interface offer intuitive touch screen experience and Synaptics is engaged in multiple designs with our ClearPad Series 7 to support the upcoming launch for notebooks and tablets. We continue to invest in this green field opportunity and as the immersive user experience gain traction; we expect to maintain our leadership position in the notebook market with our advanced ForcePad ThinTouch and ClearPad Solutions, as well as our new touch enabled video and display applications. Our board portfolio of innovative solution addresses our core markets and includes more exciting advancements coming over the next few months. Fiscal 2013 is off to a good start, while industries has forecast of the PC market continue to come down as analysts adopt the wait and see attitude towards the adoption of Window 8 and ultrabooks. We are encouraged by our strong design pipeline and believe that we have the optimal products and technology platform in place as the market continues to evolve. On the mobile side we continue to have the broadest portfolio and to execute well across both the low end and premium segments. We lead the market innovation and technology based on our products, our tools, our display integration effort in advancement in the total system, that position us to win going forward. As a company we are investing in the right areas and believe we are paving the way for a sustainable, profitable growth. With that I’ll turn it over to Kathy for a review of our financial results.
Kathy Bayless: Thanks, Rick. As Rick mentioned revenue was $127 million for the September quarter. The revenue mix from PC and mobile products was approximately 49% and 51% respectively. PC revenue was down 9% from the prior year and 19% sequentially, primarily reflecting the widely reported softness in the PC industry, combined with the timing of some sale end and head back to school cycle reflected in our June quarter PC revenue. Synaptics continues lead the market for Notebook, TouchPad and QuickPAD and design activity continues to be very strong. With the continued ultrabook design ramp this quarter, QuickPADs were greater than 20% of our TouchPad unit shipment. Revenue from mobile products in the September quarter was better than anticipated, roughly flat year-over-year and up 7% from the June quarter and consisted predominately of revenue from mobile phone applications. We achieved strong mobile phone unit growth over both comparable periods and tablets were a solid contributor, reflective of our inclusion in the Samsung Galaxy Tab 2. Our non-GAAP gross margin of 47.9% improved 180 basis points year-over-year and 170 basis points from the June quarter, as a result of the beneficial mobile product mix. Non-GAAP operating expenses were $43.5 million, up $3.7 million from prior quarter. The increase was primarily due to additional headcount associated with our previously announced acquisitions and to a lesser degree our annual merit (ph) adjustment. In the September quarter GAAP operating expenses were $52.2 million, including $8.2 million of share based compensation, as well as non-cash expenses related to the recent acquisitions, including a change in consideration of $287,000 and intangibles amortization of $240,000 (ph). Our non-GAAP tax rate was 27.4% in the September quarter, compared with 23.4% for fiscal 2012 primarily reflecting our geographic profit mix. Our GAAP tax rate was 29.2%. Our September quarter tax rate does not reflect any benefit of the research credit which expired in the middle of fiscal 2012. As previously mentioned first quarter non-GAAP net income was $12.7 million or $0.37 cents per diluted share, near the high end of our guidance range. Turning to our balance sheet, we ended the quarter with $313 million of cash. Cash flow from operations was $29.6 million. Overall cash was up $8 million from June, reflecting the strong cash flow from operation, partially offset by $5 million for the purchase of the video display operation of IDT and capital expenditures of $16.1 million. Capital expenditures included $11.9 million for the purchase of our new headquarters building complex and some initial renovation cost to prepare for our move later this fiscal year. In addition, we entered into a contract to sell our existing headquarters building for $14.2 million and anticipate closing the transaction later this quarter or early next. The (inaudible) between the closing date and the completion of the building renovations we will enter into a short-term leaseback for this facility. Appreciation was $2.5 million for the quarter. Receivables at the end of September were $98 million, down $6 million from June, reflecting 69 days of sales outstanding. Inventories at the end of September were $31.2 million, down slightly from June and inventory returns remained at $9 million. Now I will make a few comments regarding our quarterly outlook. Looking ahead to the December quarter, we continued to monitor market dynamics and the impact of macro trends on end demand. Based on our backlog of approximately $74 million entering the quarter, customer forecast and the expected product mix, we anticipate revenue will be in the range of $134 million to $142 million, up 6% to 12% sequentially. Specifically, we expect both PC and mobile products revenue to be up sequentially, based on strength from new product ramps and the holiday season uplift. Taking into account our overall revenue mix, we expect non-GAAP gross margins for the December quarter to be around 47%. We expect non-GAAP operating expenses in the December quarter to be up from the September quarter, primarily from a full (ph) quarter of engineering expense associated with the acquisitions and some incremental chip design engineering to support our expanded product portfolio. GAAP expenses will also include both non-cash intangible amortization and changing contingent consideration of approximately $260,000 and $300,000 per quarter respectively. We anticipate the FAS123R charge in the December quarter to be in a range of $8.4 million to $8.6 million. We anticipate that our non-GAAP tax rate for the December quarter and for the year will be in the range of 25% to 26%, reflecting our geographic profits mix and no benefit from a potential real instatement of the expired R&D credit. Non-GAAP, net income per diluted share for the December quarter is anticipated to be in the range of $0.42 to $0.50 per share. In closing, the first half of fiscal 2013 is unfolding largely as anticipated and we are excited about our strong design pipeline based on our broad portfolio of solutions and continued track record of execution. We continue to accelerate our leadership position by advancing the Human Interface in our core markets and expanding our addressable market opportunity through focused investments, orienting Synaptics for a long term growth. With that we will turn the call over to the operator, to start the Q&A. Operator.
Operator: (Operator Instructions) Our first question comes from the line of Kevin Cassidy with Stifel Nicolaus. Please go ahead.
Kevin Cassidy - Stifel Nicolaus: Thanks for taking my question and congratulations on a great quarter and good outlook. There are speculations in the market or rumors on the market about supply shortage in panels. Can you address that or have you seen any problems like this?
Rick Bergman: Yes. Kevin, this is Rick Bergman. No I have not heard any rumors. I was just actually in Asia, and visited with a few of the panel manufacturers and didn’t hear anything with that regards? Was this the small panels or large panels?
Kevin Cassidy - Stifel Nicolaus: I believe its large panels.
Rick Bergman: (Inaudible) as constraint from our PC customers now.
Kevin Cassidy - Stifel Nicolaus: And maybe on the keyboard product, you had purchased also, can you say what the interest level is with that?
Rick Bergman: Just like we said back in August, as you can imagine it’s very high. With great interest we've watched the launches of the Microsoft Surface Tablet this week and as you can see, it looks like the keyboard is a real hit for their solution. And what we believe even better technology for the fix of a hard keyboard with our ThinTouch technology.
Kevin Cassidy - Stifel Nicolaus: Okay. But no actual design wins to announced yet?
Rick Bergman: No, as we noted it's really, in our fiscal ‘14 before we'll see revenue from that product, there is a lot of work as you can imagine at a very complex device mechanically and from a physical and qualification perspective. So there's a long design cycle because you are actually part of the physical, part of the notebook of the OEM as an example. So expect really more of a year from now timeframe before we see revenue on that.
Operator: Thank you. Our next question comes from the line of Rob Stone with Cowen & Company. Please go ahead.
Rob Stone - Cowen & Company: Hey, congrats on the good results given pretty crappy market condition.
Rick Bergman: Thanks Rob.
Kathy Bayless: I like that, great description.
Rob Stone - Cowen & Company: That said, I wonder if you could comment on mobile pricing trends, I know your mobile revenue roughly flat year-on-year one of your competitors is talking about some increase in the rate of quarterly price erosion, any colour you could give there.
Kathy Bayless: As far as pricing goes, it's always competitive and I don’t think we've in general seen any big trends, so we've had a very, very broad product offering and so our pricing and ASP is pretty much a mix of all the different products we have been shipping in the market at any point in time. So, it's aggressive so, I mean there's…
Rob Stone - Cowen & Company: I wasn't going for an ASP per se, but more this competitor was talking about sort of 3% to 5% quarterly erosion in the 2013 timeframe. Would you concur with that kind of pricing climate?
Kathy Bayless: Yes. I would say that range is not that unusual actually for mobile products?
Rob Stone - Cowen & Company: I note that the video stuff is included in mobile; can you say how much that contributed in the quarter?
Kathy Bayless: It’s actually very small, so I think as we talked about at Analyst Day it's really more of a contributor in the second part of this fiscal year when we’ll start to see it pick up.
Operator: Thank you. Our next question comes from the line of Daniel Amir with Lazard Capital Market. Please go ahead.
Daniel Amir - Lazard Capital Market: Couple of questions here, first on the mobile side, can you give us a bit insight into your Intel technology, where does it stand in terms of design activity and interest in terms of the handset market, given that, there is a couple of handset out right now, there’s Apple came out with their own in sell, where is the level of interest right now and how big a differentiator do you think that is in the mobile market for next year. And I have one follow up. Thanks?
Rick Bergman: Sure. As we said we early saw interest in Intel pick up at the beginning of this year from actually, going from concept to manufacturing. And we get to see a few innovators come out in calendar ‘12 with phones and then you’d see more broad base production in ‘13 and nothing to detract from that. The interest continues to be substantial and any display integration technologies, as I talked earlier we see interest in Intel, as well as on sell technologies. Little bit different; one is more oriented towards the premium part of market and on sell is more towards the low end of the marketplace. But both offer a lot to the LCM’s, so interest is quite high.
Daniel Amir - Lazard Capital Market: Okay. And then in terms of the PC market, you have a lot of positive commentary around Windows 8. I mean what’s your sense in how should we see it playing out Synaptics given that, there is mixed review so far in Windows 8. Will you be able to maintain your share that you currently have in the notebook market in Windows 8 world? Or is this much more a year from now as we start seeing Windows 8 taking off maybe on the enterprise side, is that when you will start benefiting from it?
Rick Bergman: Ultimately what we need is gross to return back to the PC marketplace. And whether that ends up notebook being shipped with windows 7 or Windows 8, kind of across the board we are seeing in the larger movements to larger ClickPad, ClickPad and larger area which tells us on the ASP side in both cases. That showed a huge dependency per se whether you know what the exact mix is on Windows 8 versus Window 7. Obviously, Windows 8 brining the opportunity for the large touchscreen opportunity there as well.
Operator: Our next question comes from the line of John Vinh with Pacific Crest Securities. Please go ahead.
John Vinh - Pacific Crest Securities: First question from me is can you give us a little bit more colour on the outlook for the December quarter? Are you expecting both segments to be roughly up the same or expecting model to be up more than PCs?
Kathy Bayless: Hey John, if we just kind of look at the backlog, I would say that as far the backlog goes, it’s relatively similar from a mix standpoint, from the mix that we saw this quarter, I mean mix could change couple of points one way or the other, but beyond that not much else changed.
John Vinh - Pacific Crest Securities: Okay. And on the PC front, obviously that continues to be a pretty tough environment what’s driving done in the sequential uptake in PCs in the December quarter?
Kathy Bayless: It’s really just the broad range of the product and the numbers of skews that are launching also, are positioning and Ultrabook is very strong and the continued adoption of our ClearPad solution so good trends basically overall.
Rick Bergman: Yes also just add a little bit, of course, seasonality and then I think everybody in the PC state saw little bit of a slag in calendar Q3 in anticipation for the Windows 8 launch tomorrow.
John Vinh - Pacific Crest Securities: And then my follow up is on Samsung. You’ve talked about Samsung, on the tablet front, can you give us an update and help us better understand how you are position on the Samsung on the smartphone front?
Rick Bergman: Of course we can’t pre-announce any customer product so, I’ll just got to say what I have been saying in the past which is the tablet has been a great proving ground for Synaptics’ technology and getting us back in as a qualified in high volume suppliers to Samsung. And with any major OEM, you have to the first one and then you build from there and I can just say that we’re carrying these design wins and building our position at Samsung and when we have a specific phone to announce, we’ll let you know.
Operator: Thank you. Our next question comes from the line of Jeff Schreiner with Feltl and Company. Please go ahead.
Jeff Schreiner - Feltl and Company: Kathy, I think you mentioned but I just wanted to make sure clear here, you have about 18% sequentially in the PC revenue side in June and down about 19% sequentially in September. Is that more of a function in terms of shipments being pushed and pulled between the quarters?
Kathy Bayless: Some of that is we typically have a stronger June, because we do have some sell-in ahead of sell out.
Jeff Schreiner - Feltl and Company: But as my follow-up I guess, the 19% sequentially is much more of a decline than what the industry recently has reported at least according to IDC and you look at kind of your reported revenues was what we were seeing the overall competitive landscape, Synaptics has had historically a leading share position in Touchpad, has that started to change in Window 8?
Rick Bergman: Jeff, I was talking and your question kind of leads to this about looking at specific quarters and drawing big trends from that because, conversely then for the current quarter reign where we’re probably little bit higher than the rest of the PC industry as well in terms of our PC guidance. So given the nature of the product that we shift, it tends to get built in early in the manufacturing cycle. And so certainly as channels fill in and get depleted there is impact that can swing moving around quarter boundaries. We’re confident with our share on Touchpads going forward where it historically have been.
Operator: Thank you very much. Our next question comes from the line of Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson - Dougherty & Company: I think last call you guys had indicated you are thinking you could be maybe up modestly in revenue for the fiscal year. I just wonder how the PC dynamics have changed if you still believe that and then I have a follow up.
Rick Bergman: As actually in our press release, actually based on our first quarter and now the guidance we've giving on second quarter, it’s kind of following the script that we had envisioned for the fiscal year or we continue to expect to see a modest growth that we had talked about during the last call despite some of the challenges in the PC growth.
Charlie Anderson - Dougherty & Company: So does that mean that you got stronger on mobile relative to how you started the year?
Kathy Bayless: Well, I think that’s a yes, we said in the first quarter mobile was definitely a strength, so mobile was stronger. I mean we’re saying that from a mix standpoint as I said little bit earlier, the mix is probably going to be similar for the December quarter. So again, looking at this quarter and next quarter, mobile is little bit stronger than we had anticipated.
Charlie Anderson - Dougherty & Company: And then I was wondering about use of cash, you guys did a few acquisitions last quarter, the buyback seems to slow, I didn’t hear that you bought back any shares. In a lot of your cash the vast majority is overseas. I just wonder how you’re thinking about use of cash right now given the sort of dynamics of it being overseas as opposed to here. Thanks.
Kathy Bayless: So use of cash, we did have a few things going on with the acquisitions and also we did acquire a new building complex for our corporate headquarters. So we used some cash and some other vehicles, we brought back a small amount of stock last quarter, but in general our philosophy on stock buyback hasn’t changed. So we have about $100,000 left on the current authorization and we do expect to continue to look at stock buybacks on an on-going basis, on an opportunistic basis. 
Operator: Thank you. Our next question comes from the line of Liwen Zhang with Blaylock Robert Van, LLC. Please go ahead.
Liwen Zhang - Blaylock Robert Van, LLC: I would like to know what the gross margin is for the video display products, is above your corporate average or will be below your corporate average? 
Kathy Bayless : It’s generally within the product mix of the traditional PC and mobile mix.
Liwen Zhang - Blaylock Robert Van, LLC: I see. And do you have any design win for the Ultrabook with touchscreen features? 
Kathy Bayless : We do have, our pipeline is growing. As we talked about at Analyst Day, the touchscreen opportunity that we’re seeing is more targeted towards the second half this fiscal year.
Rick Bergman: One thing really interesting here, one of the comments earlier was kind of mixed, Windows 8 reviews, but to me at least this week when the first reviews came out, there is kind of two universal things. One was when it’s clearly a touch first interface which whether a touchpad or the touchscreen clearly favour Synaptics. And the other thing is if you have a tablet, boy it’s really nice, you have a real thin keyboard attached, built in as part of the unit and again that bodes well for us in a future for our ThinTouch keyboard solution.
Operator: Thank you. Our next question comes from the line of Anthony Stoss with Craig Hallum Capital Group. Please go ahead.
Anthony Stoss - Craig Hallum Capital Group: Hey guys, Rick you went on in your prepared remarks about China and wasn’t a lengthy, at least a couple of your customer shipping in the China. On the mobile side, could you give us a sense of how much of your handset revenue you believe were shipped into China? Did that lead to the strength you saw on the quarter and is that what you’re expecting in the December quarter? I guess I am just trying to get at how much of your business on the touch side was China based. Thanks.
Rick Bergman: Sure, we got our geographic mix for products, but we are well positioned in China, and China is growing fast and as my remark said, it’s the number one smartphone market. And when I say we’re well positioned after the Chinese domestic vendors, I can run a about the list of the major players there and we have we've done quite well in China. In terms of our first quarter strength, it was actually broad based around the world where we saw some strength coming from a number of customers. But that didn't include the Chinese ones, but certainly it was good to see some of the smartphone manufacturers that struggle a little bit over the past year actually to stabilize and start to grow again.
Anthony Stoss - Craig Hallum Capital Group: Okay. And one quick follow-up, normally your March quarter is down, I know you're not guiding, but anything that would change that normal seasonal view?
Kathy Bayless : Well, we've talked about what we've been seeing from the product portfolio is really a growing product portfolio base, so as we talked about at the Analyst Day it’s the matter of new programs that are starting to ramp today and then continuing to grow throughout the year with some of the video products, additional large touchscreen opportunities and just in general we see growth around the product, the whole product portfolio. So again, we're not guiding quarter-on-quarter but I think we feel from a product positioning that we've got a very strong product portfolio and several growth engines.
Operator: (Operator Instructions) Our next question comes from the line of Shaw Wu with Sterne Agee. Please go ahead.
Unidentified Analyst: Hi. This is Nicole on behalf of Shaw, congrats on the first quarter. Just wondering you have any updates on the ThinTouch keyboard opportunity related to your recent acquisition?
Rick Bergman: Nicole, in terms of we get to the earlier question about interest, and yes, interest is very strong. As I mentioned, it’s the type of product that actually takes a long time from an initial samples to productization given the complexity and how it actually fits into, for example a Notebook computer. But we're quite happy with the acquisition that we made. We continue to pour resources and to bringing that product to the market, but expect to see it more at the beginning of our fiscal ‘14 as opposed to being a fiscal ‘13 play, and it’s kind of consistent with the schedule that we gave when we made the acquisition.
Operator: Thank you. Now at this time I would like to turn the call back to management for any closing remarks.
Rick Bergman: Well, thank you for joining us again today. And we look forward to the next quarter's call.